 :
Operator: Ladies and gentlemen hello and welcome to today’s Encore Wire fourth quarter earnings conference call. As a reminder, all phone lines are on listen-only mode and there will be time for question-and-answers at the end of the conference. (Operator Instructions). At this time, I’d like to turn the call over to Mr. Daniel Jones, President and Chief Executive Officer to begin. Please go ahead.
Daniel Jones: Thank you, Eric and good morning ladies and gentlemen and welcome to the Encore Wire Corporation’s quarterly conference call. I’m Daniel Jones, the President and Chief Executive Officer of Encore Wire and with me this morning is Frank Bilban, our Chief Financial Officer. I'm pleased to announce strong quarterly earnings in a turbulent economy and the severe recessions currently taking place in the construction industry. As we have repeatedly noted, the key metric to our earnings is the spread between the cost of wire sold and cost of raw copper purchased in any given period. The spread increased 42.5% in the fourth quarter of 2011 versus the fourth quarter of 2010. For the year ended December 31, 2011 the spread increased 33.8% versus the year ended December 31, 2011 the spread increased 33.8% versus the year ended December 31, 2010 driving our increased earnings while unit volumes also increased 6.2%. The earnings per share of $2.14 in 2011 was the second highest in the history of the company. While the net sales dollars of 1.180 billion were the highest since 2007 and the third highest in our 22 year history. Our EBITDA for 2011 was $90.2 million, we achieved the milestones in the midst of the prolonged construction recession. The results are testimony to our efficient operations in a disciplined pricing environment that drove the improved spreads we discussed earlier. We continue to support industry price increases in an effort to maintain an increased margins and we believe our superior order fill rates continue to enhance our competitive position. As our electrical distributor customers are holding lean inventories in the field and as orders come in from electrical contractors, the distributors can count on our order fill rates to ensure quick deliveries from coast to coast. We’ve been able to accomplish this despite holding order historically lean inventory levels for us. We believe our performance is impressive in this economy, we think our employees and associates for the tremendous efforts, we’d also like to thank our stockholders for their continued support. Frank Bilban, our Chief Financial Officer will now discuss our financial results. Frank?
Frank Bilban:
 : Before we review the financials, let me indicate that throughout this conference call we may make certain statements that might be considered to be forward looking. In order to comply with certain securities legislation and instead of attempting to identify each particular statement as forward looking, we advise you that all such statements involve certain risks and uncertainties that could cause actual results to differ materially from those discussed here today. I refer each of you to the company’s SEC reports and news releases for a more detailed discussion of these risks and uncertainties. Also reconciliations of non-GAAP financial measures discussed during this call to the most directly comparable financial measures presented in accordance with GAAP including EBITDA, which we believe to be useful supplemental information for investors are posted on www.encorewire.com. Now for the financials. Net sales for the fourth quarter ended December 31, 2011 were $248.3 million compared to $256.2 million during the fourth quarter of 2010. Prices for building wires sold in the quarter ended December 31, 2011 were virtually flat versus the same period in 2010. Unit volume in the fourth quarter of 2011 decreased 3.4% versus the fourth quarter of 2010. Net income for the fourth quarter of 2011 increased 259.7% to $16.3 million versus $4.5 million in the fourth quarter of 2010. Fully diluted net earnings per common share increased 258.4% to $0.69 in the fourth quarter of 2011 versus $0.19 in the fourth quarter of 2010. Net sales for the year ended December 31, 2011 were 1.18 billion compared to 910.2 million during the same period in 2010. Higher prices for building wires sold in the year ended December 31, 2011 accounted for most of the increase in net sales dollars, increasing 22.2% per copper pound versus the same period in 2010. Unit volume in the year ended December 31, 2011 also helped to increase net sales dollars, increasing 6.2% versus 2010. Net income for the year-ended December 31, 2011 increased 227.9% to $50.1 million versus $15.3 million in the same period in 2010. Fully diluted net earnings per common share increased 226.9% to $2.14 for the year ended December 31, 2011 versus $0.66 in the same period of 2010. On a sequential quarter comparison, net sales for the fourth quarter of 2011 were $248.3 million versus $319.4 million during the third quarter of 2011. Unit volume decreased 13.8% on a sequential quarter comparison. Net income for the fourth quarter of 2011 increased 18.8% to $16.3 million versus $13.7 million in the third quarter of 2011. Fully diluted net income per common share increased to $0.69 in the fourth quarter of 2011 versus $0.59 in the third quarter of 2011. Our balance sheet is very strong. We have no long-term debt and our revolving line of credit is paid down to zero. In addition we have $112.3 million in cash as of December 31st 2011. We also declared another quarterly cash dividend during the fourth quarter of 2011. We also would like everyone to know that this conference call will be available for replay after the conclusion of this session. If you wish to hear the taped replay, please dial 866-551-4520 and enter the conference reference number 279-991 and the pound sign. I’ll now turn the floor back over to Daniel Jones, our President and CEO. Daniel?
Daniel Jones: Thank you. As Frank highlighted all things considered Encore performed well in the past quarter. We believe we are well positioned for the future. Eric, we’d now like to open up the lines for questions from our listeners.
Operator: (Operator Instructions). First is Dmitriy Shapiro with Global Hunter. Go ahead please.
Dmitriy Shapiro - Global Hunter: Given the fact that your Q is not out yet, I had a couple of questions about your margins. Your gross margin during the was significantly higher than we anticipated and I would like to get a sense for the drivers there because copper prices fell significantly during the quarter, yet your spread have widened considerably?
Daniel Jones: That’s correct. Mr. Shapiro what we saw in the fourth quarter as you indicated was COMEX average tapered off to about $3.40 or so from the prior quarter and what we were able to do was hold some pricing discipline in the market in the fourth quarter. Mainly due to the volatility, there was a lot of uncertainty in the market; there were orders that folks did not necessarily have time to wait to place on the commercial side. So there was you know some good volume but overall the volatility led to some uncertainty and we held the line on crossing, we didn't see the volume actually was going after and we held the line on crossing and we were able to not, just in copper I guess I should mention the other raw material as well declined. Some of the things that we watched did not decline and they remained flat like diesel and benzene and nylon for example but overall raw materials costs fell a little bit in the fourth quarter and we were able to hold the line on crossing sales price.
Dmitriy Shapiro - Global Hunter: And also along the lines of my previous questions, did you liquidate any older layers of the LIFO reserves during the quarter, which would result in a positive comp to your gross margins.
Frank Bilban: No. No, we did not.
Dmitriy Shapiro - Global Hunter: So now that we are about half way through the current quarter, can you tell us if you are seeing changes in the pricing environment during January and February of this year relative to Q4 and do you think that those Q4 spreads are sustainable or should we expect margins to normalize to closer to historic trends?
Frank Bilban: There are a lot of questions run into one, as far as what's going on in the first quarter I will have to defer that to the first quarter call and press release. As far as being able to maintain margins that kind of remains to be seen we’re still working in the quarter and I really don’t want to give too much information on Q1 yet because we just don’t know what’s going to happen in March. And as far as normal margins, I’ tell you, I guess I would have to answer that in the form of a question. I am not sure what you consider to be normal. There is different opinions on that but again it will be a supply-demand type issue and on top of that the copper volatility and timing. As raw materials move up and down during the quarter, if we’re able to hold the passing discipline I think the answer to all three of your questions is yes.
Dmitriy Shapiro - Global Hunter: Okay, great. And my last question your SG&A expenses decline quite a bit in Q4 can you tell us more about what’s specific initiatives have you undertaken to reduce operating cost and if you believe this new cost level is sustainable?
Frank Bilban: Well, there is a lot of cost saving ideas that we go through but if you dissect -- specifically what are you asking about I think you’ll see the majority of the decline was in legal fees.
Dmitriy Shapiro - Global Hunter: Okay. So would you say this level of SG&A is sustainable going forward?
Frank Bilban: Yes.
Daniel Jones: This has gotten back to where we normally were trending, yes.
Operator: Next up is Robert Kelly with Sidoti & Company. Please go ahead. 
Robert Kelly - Sidoti & Company: Good morning. In your 3Q release, you took some time to talk about how copper price dropping towards the end of the quarter, giving a big boost to the margin. You didn’t see similar language in this fourth quarter release, if we were to understand that are you seeing pricing discipline improved during 4Q. I mean you saw pretty big jump in the spread sequentially. Are you seeing pricing discipline get a little bit better as 2011 progressed?
Frank Bilban: Yes. The idea was, and the feeling still is that there was more pricing discipline. The drop from Q2 to Q3, I think was about $0.09 or $0.09 in COMEX and it was probably $0.50 or $0.60, COMEX pricing dropped from $0.03 to $0.04. So it was a huge drop in COMEX but again I think the bigger contributor at the time for Q4 was that we were able to hold pricing longer. We didn’t have to cut prices as quickly in the market. And again some of it was an in-house decision. We didn’t think that there would be benefit to chasing orders that may or may not happen and so we did probably sacrifice a little bit of volume in Q4 for some profit.
Robert Kelly - Sidoti & Company: That’s very encouraging development. In the past you talked about your spread relatively to where it’s been historically, we kind of bottomed out in the early part of 2010. Were the spreads on 4Q? Are they 50% plus or coming all the way back to where they were at peak levels in 2005?
Operator: The next is Keith Johnson with Morgan Keegan. Go ahead please.
Keith Johnson - Morgan Keegan: Just a quick couple question. I guess, basically, on the last caller’s question, it sounds like a little bit of the year-over-year volume decline, as you guy’s suggested a backing out of some lower price points in the market. Did you see any…?
Frank Bilban: I am sorry. Year-over-year was up a little bit but the quarter, but the fourth quarter’s is where we sacrificed a little volume.
Keith Johnson - Morgan Keegan: Yeah. And was that all in-house decisions or were you seeing how didn’t you kind of see the market play out in your various geographies as you moved through the quarter from a demand standpoint?
Frank Bilban: Again, there was a lot of visible volatility in COMEX. And our customers and users for whatever reasons, tried to buy based on what they feel copper is going to do or not do. They obviously think they want to buy at the bottom. So as COMEX is going down, there is no way to generate demand in that declining period and so when that started to happen which is obviously out of our control, there is some things that we can do or not do. We made the decision to clean up some inventory in-house that we had, some items that were slow moving, we got rid off. Some items had picked up a pace little bit, inventory terms we had a little inventory. So it all kind of fit together and the idea was look at the customers not ready to buy, our cost were typically high. When those orders came back around may be that had to delivered on short-term basis, that kind of fits our distribution model little bit better, So I don’t want to say we were super hot-headed but we just kind of navigated through the volatility and picked and chose the orders that fit us best from a profit standpoint but also operationally something that we can shift immediately out of self defense because of volatility.
Keith Johnson - Morgan Keegan: Okay what kind of feed back I guess from your reps out there are you getting as far as kind of construction activity or tendency of pockets where things are picking up, in other words you referenced these orders and that had to be shift in a short fashion kind of regardless kind of where the price point lies, is that projects are beginning to pick up from a demand standpoint is there any color you could add on that side?
Daniel Jones: I think good question what we are seeing from the guys in field it is just that we are seeing a lot more activity and the demands that were pushing back down on the sales force have increased and we require quite a bit more information you know a lot earlier in the process and I think that again is market driven. Geographically, I think it’s the areas that you would suspect that are doing pretty well, you know the Pacific Northwest is good, West Coast California, Southern Cal, Northern Cal are okay, you know over into the Carolinas, Georgia, Florida is pretty good, Northeast is good, and in Texas I don't know that we saw as big a dip as anyone else in construction activity, but we seem to be a little insulated from the bottoms I mean Texas, Oklahoma, New Mexico still going along pretty well. But just in general the feel is, we are a lot busier, activity level in the sales office is up, but again, that's a combination of we are requiring a little bit more information in trying to get a little bit quicker in the process. But overall there are some pretty nice projects out there; it just takes a little harder work to win those.
Keith Johnson - Morgan Keegan: And last question, as you move through the fourth quarter, was there any one month that stood out as far as performance relatively level relative to others as you kind of went from October-November-December?
Frank Bilban: Well, volume wise October was strongest and that’s typical. September-October generally are good and November and December came off a little bit.
Daniel Jones: And one thing just to add to that Keith, we had about $0.10 per pound COMEX jump from mid to late October and to November. I think the difference in the two months was about ended up being about $0.10. So when copper is trending up, we typically do better and as Frank indicated, from a common standpoint, you know that made things come in line up. So it was good in October, right in leading up to the Thanksgiving holiday and typically things that we see here as obviously exceptions to this, but most the time from about Thanksgiving through the last Super Bowl party there is not a lot of work going on out in the field. And then after the super bowl parties are over we get back to work.
Operator: Next is Bill Baldwin with Baldwin Anthony Securities. Go ahead.
Bill Baldwin - Baldwin Anthony Securities: Two questions; can you give some color on what your plant utilization levels are kind of running out here in the fourth quarter? And secondly, has there been any additional capacity in the industry taken out here in 2011?
Daniel Jones: Well, we’re running in five, five and a half days basically. Fourth quarter is really not a good time to look, because we traditionally shut the plants down a week or 10 days during the holidays or scheduled maintenance and what have you, but all things considered, you know we’re running five, five and a half days which is good, I love it to be running six, six and a half days, but it is what it is. As far as capacity in the market, I don’t know of any one adding capacity or taking capacity away either one, really I think it’s kind of neutral at this point. We had a larger competitor buy a smaller competitor and the last change in the market is most likely those AIW plants that were rationalized and taken off line to some extent. But overall, I don’t know if anyone is really adding or taking away in the copper building wire side.
Operator: (Operator Instructions) Next is Brad Evans with Heartland Funds. Go ahead please.
Brad Evans - Heartland Funds: Just curious Frank, do you a preliminary CapEx number for 2012 at this point?
Frank Bilban: Well, as we announced in the press release in December, we are building a new aluminum plant. I am looking at it right outside the window here and our forecast for that plant is in the high 20s to low 30s, $30 million or so. And then we’re probably, our manufacturing guys will be focused on that project the bulk of the year, but there is always some other upgrades and/or replacements to come up. So in that press release we said we’ll probably be spending somewhere between $30 million and $40 million in 2012.
Brad Evans - Heartland Funds: Are you getting a big tailwind from low natural gas prices in terms of running the plant, is that big, is that moving the needle at all?
Frank Bilban: It’s a small component of our cost here, but it has certainly helped electricity which is tied natural gas and natural gas itself which we use to melt the cooper in the Rod Mill have both come down significantly over the last couple of years and that has helped; but not something that you would necessarily notice.
Brad Evans - Heartland Funds: Dan, I know in the press release, you said that your customers are holding inventories fairly probably, but do you think there was even further inventory destocking in that late December timeframe?
Daniel Jones: Yeah, for the most part, I think that there was. I mean, when you have, the second, we started out 2011, the first quarter was like a $4.30 something average COMEX. Then it went to $4.15 in Q2, it was $4.07 in Q3 and went down to about $3.40 or so for Q4. When you have $0.50 drop in COMEX and I hate to give copper too much credit there, but again our customers watch it daily. When it’s trending down, they don’t want to invest in any inventory and as you get into Q4, the inventory tax management type ideas come into play and again most of the restocking that we see at the distributor level and even the installer and end-user level, most of that restocking and I know it sounds maybe little goofy, but most of that starts after the Super Bowl. And I don’t know anything else to tie it to as to just kind of what happens, but we definitely Q4 saw some inventory levels that were reduced and again that plays into our model. We’re pretty quick on delivery and order turnaround. Our field rates were 100% in the fourth quarter. So we like it. We think it’s a good idea to hold off on inventory and whatever, so it plays into our model pretty well.
Brad Evans - Heartland Funds: And just one other thing here just from a housekeeping perspective; Frank, can you give us the fourth quarter breakdown between commercial and resi in terms of the mix of the business and may be year-over-year volume trends you saw there in the fourth quarter?
Frank Bilban: You’re looking at Q4 versus Q4 Brad?
Brad Evans - Heartland Funds: That’s correct.
Frank Bilban: In Q4 of 2011, residential copper pounds shipped were just under 16% meaning the commercial was 84% plus and on a year-over-year basis in Q4 versus Q4 residential was actually up 12% which sounds great, but I would caution you that that’s on a very low base. So small increments make fairly large percentage differences, but it looks good because it looks like perhaps it’s bottoming out and commercial year-over-year Q4-to-Q4 was down about 5.5%.
Brad Evans - Heartland Funds: And then just one last one for Daniel in terms of, I love the discipline in terms of walking away from this price volume; has that situation emulated itself in the first quarter or are you still having to have a step back in that respect?
Daniel Jones: Things are going along good so far; it’s early in the quarter still, but things will go along pretty well.
Operator: Next up is Kerry Rigdon with Mayberry. Please go ahead. 
Kerry Rigdon - Mayberry: Just more of a clarification, could you comment on the cash position difference from Q3 to Q4?
Frank Bilban: Sure. It’s actually a great question because we see some of the things in the press at times that misinterpret the swings and cash. Our cash goes up and down overwhelmingly because of working capital requirements and overwhelmingly because of accounts receivable. What you saw in Q3 and we talked about it in Q3 is a drained cash down was the fact that copper had been very strong sales dollars and volumes were very strong and so at the end of Q3 we had a lot of money tied up in receivables. On a quarter to quarter basis our AR came down over $70 million primarily because A: as we indicated the average price we paid for copper was down almost $0.50 a pound quarter to quarter and the timing of the sales which was not unusual was that October was our biggest month in terms of sales dollars. By the end of the quarter you generally collect most of that first month of the quarter sales. So October got paid and November December were the two months that were left on the books, they were down. We harvested at $70 plus million. In addition at the end of the year as Daniel indicated right in the last couple of weeks of December we got a little bit of a push on sales that we at the inventory could ship on short notice and we dragged our inventory down not much, but a couple of million pounds in December. So you put that two together and I think that you’ll get $100 million on the balance sheet.
Operator: Next up is Tom (inaudible) with Weston Capital. Go ahead.
Unidentified Analyst: With the improvement we’re seeing in multi-family construction is the residential sales that you are experiencing improving from that predominantly and do you expect that trend to continue?
Daniel Jones: Well, that’s a tough question. I mean it’s month to month really. Some of the residential areas obviously are reported to be growing and then geographically they could be down. So net net, there maybe some room for improvement there obviously. But as Frank indicated, the base is so low. It’s tough to us to get super positive about the fluctuations or the volatility and demand for the residential stock. But having said that, overall residentially I mean it depends on housing all the numbers that get credit on the way down will also get credit on the way up. So it just depends on which report you read and who you trust when you read those, but you know again we’ve got a little bit of uptick there, but the base is so low time, we’re really thinking that that’s any long term trends or anything yet other than when you see the positive reports that come out.
Operator: Next up is Joe Giamichael with Global Hunter. Please go ahead.
Joe Giamichael - Global Hunter: Given the fact that just a follow up on one of the previous questions. Working capital needs to fluctuate pretty significantly and there is certainly times that you’d see a materially drawdown on the cash levels. Given your CapEx rates, it seems you’ll still maintain a pretty healthy excess cash level. In terms of value creation, are you considering increasing the dividend or there are others sort of potential capital projects out there. How do you intend to redeploy the capital?
Daniel Jones: Well, we are looking at two things. We are looking at all the options on the stock side and we are also looking at -- we are in the midst of, as Frank indicated about $30 project. I would like to at least get that one closer to finish before we start the next one. But we definitely have some ideas. It will depend obviously on timing and market conditions, but as we are going forward here in the middle of this project, we have been able to identify a couple of opportunities that we are going to explore a little bit deeper. But before we get too giddy over the $100 million cash position, I want to point out I am very bullish on copper. If copper ends up running up $10,000 a ton from where it currently is, you will see that cash go away pretty quickly. So as copper goes up in value, it will consume more cash and ironically if the copper value for some reason were to drop and the revenues were to come down with it, you will also see that cash position be depleted. So we don’t get too excited and that was cash positions other than, it allows us the flexibility to do what we want.
Joe Giamichael - Global Hunter: And just along those lines, assuming fluctuations either way how do you sort of view an appropriate capital structure or sort of realistic leverage ratio, you guys have shied away from the use of leverage, I am just kind of curious what your outlook is?
Frank Bilban: Well, we haven’t shied away from it when we needed it, but for the past four years in this industry session, we basically have been in the banks with our revolver which is always there. So our capital structure had $200 million of revolving credit available. We lowered it about a year-and-half ago just because we wanted to save some fees on the excess unused portion. We dropped to $150 million. We did go into the banks in September for a short-period of time and then as we said, when you’re running a $1.2 billion company and copper are prime commodity fluctuates as much as it has, really what I call emotionally ocean is a $100 million swing either way. And so that, as Daniel indicated, $100 million here and there, we don’t want to make light of it, but it can swing that far in the quarter and you saw that this quarter. Long-term, Joe, if we need the money, we have banks who talk to us on a regular basis and we can expand it and if you look back in our history, we had private placements with the insurance industry, going back to the ’04-’05 timeframe for $100 million and when we paid those notes off early a couple of years ago, we parted as absolute friends and those companies are eager to help us in the long-term with some long-term debt as well. So we have a plan in place that will accommodate those needs as they arise.
Joe Giamichael - Global Hunter: And last question and I promise I’ll get out of the way here. Having then an organic story and having a nice footprint that’s fairly easy to manage officially at this point, I know that there is a number of private assets out there that are being marketed right now. I am assuming what you guys would not look for material acquisitions at this point. Is it a fair assumption?
Daniel Jones: It is to the most part but basically, you know, we’ve got a few things we’ve looked at. There is a few other things we’re going to continue to look at soon in the next couple of months or so we’ll be kicking some tires, but here is the way I look at that Joe, if there is something out there that fits what we do, it will not takeaway from our successes in the market with the existing customer base. We are going to be all over it. But, I don’t want to add something; I don’t want to get larger implorer and that’s not the goal. So as we kick the tires on these things and as you mentioned organic growth, what typically happens, we look around and see something that makes sense, but so far over the last 22 years it’s made more sense for us to start fresh new here, new equipment, new plant, new building, geographic location makes sense and we haven’t really fragmented the management group and we have been able to hold on to a culture which I think is key to our success.
Operator: (Operator Instructions) And gentlemen, at this time, that appears to be all the feedback.
Daniel Jones: Eric, thank you very much and callers we appreciate your participation in the questions; it makes a lot easier to discuss openly. Thanks a lot.